Operator: Good afternoon. My name is Latif, and I will be your conference facilitator. At this time, I would like to welcome everyone to Intuit’s Fourth Quarter Fiscal Year 2018 Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session period [Operator Instructions]. With that, I will now turn the call over to Jerry Natoli, Intuit’s Vice President of Finance and Treasurer. Mr. Natoli?
Jerry Natoli: Thanks, Latif. Good afternoon. And welcome to Intuit’s fourth quarter fiscal 2018 conference call. I am here with Brad Smith, our Chairman and CEO; Michelle Clatterbuck, our CFO; and Sasan Goodarzi our incoming CEO. Before we start, I would like to remind everyone that our remarks will include forward-looking statements. There are a number of factors that could cause Intuit’s results to differ materially from our expectations. You can learn more about these risks in the press release we issued earlier this afternoon, our Form 10-K for fiscal 2017 and our other SEC filings. All of those documents are available on the Investor Relations page of Intuit’s Web site at intuit.com. We assume no obligation to update any forward-looking statements. Some of the numbers in these remarks are presented on a non-GAAP basis. We’ve reconciled the comparable GAAP and non-GAAP numbers in today’s press release. We are reporting fiscal year 2018 results today under the historical revenue recognition standard ASC 605. We adopted the new revenue recognition standard ASC 606 in fiscal year 2019, which began August 1, 2018. We elected to adopt ASC 606 under the full retrospective model for comparability and we have provided restated financials for fiscal years 2017 and 2018 in the press release issued today and on our fact sheet. We also posted a slide deck to the Investor Relations section on Intuit Web site at www.intuit.com highlighting the significant changes under ASC 606. Michelle will discuss the impact of this change during her prepared remarks. Unless otherwise noted, all growth rates refer to the current period versus the comparable prior year period, and the business metrics and associated growth rates refer to worldwide business metrics. A copy of our prepared remarks and supplemental financial information will be available on our Web site after this call ends. With that, I’ll turn the call over to Brad.
Brad Smith: Thanks, Jerry and thanks to all of you for joining us. As you read in our press release today, I'll be stepping down as the Chief Executive Officer of Intuit at the end of 2018, and continue to serve as our Executive Chairman. I am happy to announce that Sasan Goodarzi will become Intuit’s next CEO on January 1, 2019. Sasan is also with us on the call today. I'll share more thoughts about Sasan and why I feel it's the right time to pass the baton to him in January at the end of this call. But first let's talk about our results in fiscal year 2018 and our outlook for fiscal year 2019. We had an excellent fourth quarter, capping off a very strong fiscal year 2018. Fourth quarter revenues grew 17% and full-year revenues grew 15%. We are one year into a multiyear change journey and our results confirm that our refresh One Intuit Ecosystem strategy is positioning the Company through durable growth as we look ahead. Revenue growth accelerated across our businesses in fiscal year 2018. This growth was fueled by 18% growth in the Small Business and Self-Employed Group and 14% growth in the Consumer Group. As you can see reflected in our guidance for fiscal year 2019, we expect to deliver another year of strong revenue growth. With that overview, let me share some observations on our business performance. We delivered another successful quarter in our Small Business and Self-Employed Group. Online ecosystem revenue grew 43% in the fourth quarter and 40% for the fiscal year, exceeding our projects to grow better from 30%. We added over 1 million QuickBooks Online subscribers in fiscal year 2018 exceeding with more than 3.4 million subscribers, a 43% increase year-over-year. Growth remains strong across multiple geographies with U.S. subscribers growing 38% to approximately 2.6 million and international subscribers growing 62% to over 800,000. Within QuickBooks Online, Self-Employed subscribers grew to nearly 720,000, up from roughly 390,000 just one year ago. As we move to the fiscal year 2019, we’re placing a greater focus on additional services and penetrating a broader range of customers. Online ecosystem revenue growth has emerged as the best stages held and success in this business and it now represents more than $1 billion. Even at this scale, we continue to expect online ecosystem revenues to see 30% growth year-over-year, the subscriber base beginning to moderate some as we shift our emphasis in the next chapter of the business model evolution. With the focus on online ecosystem revenue growth, we will no longer be providing forward-looking guidance for subscriber growth, but we will continue to share our actual QuickBooks Online subscriber count on our factsheet. Turning to the Consumer Group, as we shared last quarter, we’ve had a successful tax season. Consumer revenues grew 14% in fiscal year 2018 as the innovation drove customer and revenue growth, and we made encouraging progress behind each of our strategic priorities. Our team is actively developing the next wave of innovation to better serve our customers’ next season. We’re excited about the opportunities ahead with TurboTax Live to further transform the assisted category and for our Turbo and Mint offerings to expand our business beyond tax. With regards to the external environment, I want to share our thoughts on the tax legislation changes going to effect next season. We have long advocated for tax simplification. We think anything to make taxes easier to understand is good for consumers. As you know, the new legislation increased the standard deduction, so a larger number of people won't be required to itemize their deduction. This change does introduce some trade down risk from our paid to our free offering but in aggregate, we believe tax simplification will be an overall catalyst for DIY category and TurboTax growth as more assisted customers choose to adopt digital solutions. In addition, the internal revenue service has been working on developing a streamlined tax filing form, consisting of one summary form and six supporting schedules. We’re working closely with the IRS to fully understand the changes to the 1040 forms, and we’ll ensure that all of our forms and our products are up to date as we do every year. We’ll share more information later this year when we introduce our offerings for next season. In our Strategic Partner Group, our professional tax revenue was slightly ahead of our expectations as revenue grew 4% in fiscal year 2018. We continue to focus on multiservice accounting firms that do both books and taxes. This enabled us to drive our account success while growing our small business ecosystem at the same time. Putting a goal around fiscal year 2018, we’re one year into our refresh One Intuit Ecosystem strategy with our business gaining momentum and significant opportunity ahead. We’re activating our ecosystem by connecting our customers, our partners and our products across product lines through value creating solutions. This includes offerings such as our Pro Advisor matchmaking platform, TurboTax line and our TurboTax self-employed bundle. We see many more opportunities to connect our ecosystem with newer offerings, such as QuickBook Capital and Turbo, as well as others on the horizon. We’ll share our progress on each of these offerings at our upcoming Investor Day. With that overview, let me hand it over to Michelle who to walk you through the financial details.
Michelle Clatterbuck: Thanks, Brad and good afternoon everyone. As Jerry mentioned at the beginning of the call, I’ll review our fourth quarter and fiscal year 2018 results under ASC 605. I’ll also provide guidance under both the new revenue recognition standards 606, and historical standards 605 for comparability. Let’s start with results for the fourth quarter for fiscal 2018; we delivered revenue of $988 million, up 17% year-over-year; a GAAP operating loss of $81 million versus a $10 million loss a year ago; Non GAAP income of $104 million versus $78 million last year; GAAP diluted earnings per share of $0.18 versus $0.09 a year ago; and non-GAAP diluted earnings per share of $0.32, up 60% versus $0.20 last year. For full fiscal year 2018, we delivered revenue of $6 billion, up 16% year-over-year; GAAP operating income of $1.5 billion versus $1.4 billion a year ago; non-GAAP operating income of $2 billion, up 14% versus last year; GAAP diluted earnings per share $4.64, up 25% versus $3.72 last year; and non-GAAP diluted earnings per share of $5.61, up 27% versus $4.41 last year. As previously announced our GAAP earnings per share for the fourth quarter and fiscal year 2018 include $79 million charge from the sale of our data center in Quincy, Washington. The impact of this charge on net income and EPS was offset by tax benefits that recognize in the quarter. Turning to the business segments, total Small Business and Self-Employed revenue grew 20% for the quarter and 18% for the year, this compare to 14% growth in fiscal year 2017. Online ecosystem revenue growth remained strong and grew 43% in the fourth quarter, up from 41% in the third quarter. For fiscal year 2018, online ecosystem revenues grew 40%, up from 30% in fiscal year 2017. QuickBooks Online subscribers grew 43%, ending the quarter with over 3.4 million subscribers. As Brad mentioned, we believe the best measure of the health and success of our strategy going forward is online ecosystem revenue growth, which we continue to expect to grow better than 30%. Desktop ecosystem revenue grew 7% in the fourth quarter and in the fiscal year 2018. Desktop units fell 7% in the fourth and 15% in fiscal year 2018, which was in line with our expectations. For fiscal 2019, we expect QuickBooks’ desktop unit to decline single digits and desktop ecosystem revenue to be roughly flat. Including both online and desktop customers, our total QuickBook paying customers grew 26% in fiscal year 2018. Total QuickBook paying customers includes QuickBook Online customers, QuickBook Desktop unit and QuickBook Desktop subscribers. The Consumer Group had a strong year with revenue up 14% compared to 8% revenue growth in fiscal year 2017. TurboTax units grew 4% and TurboTax online units were up 6%. The Strategic Partner Group posted $453 million of professional tax revenue for fiscal year 2018, up 4%. Turning to our financial principles, we continue to take a disciplined approach to capital management, investing the cash we generate in opportunities that yield return on investment greater than 15%. During fiscal year 2018, we focused on reallocating resources to strengthen our investments in several key priorities, including increasing our capability in artificial intelligence and machine learning, accelerating our transition to Amazon Web services, enhancing our brand and marketing effectiveness globally and enabling our engineering organization to increase effectiveness and efficiency. At the beginning of fiscal year 2018, we told you that we expect these initiatives to set us up to deliver strong growth in the coming years. We saw this momentum begin in fiscal year 2018; revenue growth accelerated approximately 5 points to 15%; GAAP operating income grew 7%, including $79 million charge from the sale of our datacenter; non-GAAP operating income growth accelerated approximately 2 points to 14%. We finished the year with $1.7 billion in cash and investments on our balance sheet. Our first priority for that cash remains investing in the business to drive customer and revenue growth. Next, we use acquisitions to accelerate our growth and fill out our product roadmap; we returned excess cash that we can invest profitably in the business to shareholders via both share repurchases and dividends; we repurchased over $270 million of stock during fiscal year 2018; the Board approved a new $2 billion repurchase authorization, giving us a total authorization of $3.2 billion to repurchase shares, including the remaining amount on our prior authorization; the Board approved a quarterly dividend of $0.47 per share payable October 18, 2018, this represents a 21% increases versus last year. As I mentioned, we are adopting ASC 606, the new accounting standard for revenue recognition in fiscal year 2019. We will be reporting our results under this standard going forward, and will be restating the financial statements of previous years to provide comparability. The new standard will result in an increase in revenue for fiscal year 2018 of $61 million and a decrease in expected revenue of $30 million in fiscal year 2019. While we're changing how we account for revenue under 606, this is an accounting change only and has no impact on customer billings or cash flow. In addition, how we recognize revenue for all online offering, supply and desktop payroll and payments will not change. What will change under the new rules is how we account for revenue associated with QuickBooks Desktop units, QuickBooks Desktop subscription offering and consumer and professional tax desktop offerings. I'll highlight the changes briefly, but please review the materials in the Investors section of our Web site for more detail. The primary change for our QuickBooks Desktop units and subscription offerings under 606 is that more revenue will be recorded in earlier periods. The primary change for our consumer and professional tax desktop offering is that more revenue will be recognized at the beginning of the tax season under 606. We expect the net impact of adopting 606 to be approximately a 2 point reduction in our revenue growth in fiscal year 2019 versus the prior standard. Under 606, Q1 fiscal 2019 guidance includes revenue growth of 5% to 7%, a GAAP loss per share of $0.17 to $0.19 and non-GAAP earnings per share of $0.09 to $0.11. While we’re not providing quarterly guidance under 606, our Q1 fiscal year 2019 revenue guidance would have been approximately $30 million higher than it is under 606. You can find additional Q1 and fiscal 2019 guidance details under 606 in our press release and on our factsheet. And just one more comment on Q1, we expect desktop ecosystem revenue to decline single digits in Q1 of fiscal year 2019. This reflects the change we made in fiscal year 2018, moving our QuickBooks enterprise subscription offering from a perpetual license to a term license to better serve our customers. Under 606, our full year fiscal 2019 guidance includes total Company revenue growth of 8% to 10%, GAAP earnings per share of $5.25 to $5.35 and non-GAAP earnings per share of $6.40 to $6.50. We expect a GAAP tax rate of 21% and a non-GAAP tax rate of 23% for fiscal 2019. To help you compare with the forecast you have in your model, we’re also providing guidance under ASC 605. Our full year fiscal 2019 guidance under the historical 605 standards include total Company revenue growth of 10% to 12%, GAAP earnings per share of $5.35 to $5.45 and non-GAAP earnings per share of $6.50 to $6.60. With that, I’ll turn it back to Brad to close.
Brad Smith: Great, thanks, Michelle. In summary, we delivered a strong year in fiscal 2018 posting a faster pace of revenue growth than we have seen in several years as our One Intuit Ecosystem strategy takes shape. We continue to have our sight fit on next year and beyond as we pursue our mission of powering prosperity around the world. With that overview, let’s now shift to the other news we announced today. Sasan is the right executive to lead Intuit in our next chapter. During his 13 years with the Company, he had successfully led each of our major businesses and served as our Chief Information Officer. He has been instrumental in the transformation of our Company and a key architect of our One Intuit Ecosystem strategy. He leads with intellectual curiosity and humility, as well as strategic and operational rigor. At every stop, Sasan has built high performing and highly engaged teams who deliver amazing results. I am confident in his ability to lead the Company to new high and I am looking forward to working with him in his new role. When Sasan steps into the role of CEO on January 1st, he will be succeeded by Alex Chriss as the General Manager of the Small Business and Self-Employee Group. Alex is another Intuit veteran with a stellar track record of success over the past 14 years. We also announce today that Tayloe Stansbury will be stepping down as our Chief Technology Officer on January 1, 2019. This move is another possible transition in a multiyear succession planning process that has been in the works for some time. I want to thank Tayloe for his many contributions over the past nine years, having let our evolution to a platform company, advanced our leadership in artificial intelligence and machine learning and accelerated our journey to the cloud. Tayloe has built an amazing leadership bench. We successfully prepared Marianna Tessel, our current Chief Product Development Officer for the Small Business and Self-Employed Group to be his successor as CTO in January. And on a personal note, it has been a privilege to serve as Intuit CEO since 2008. Together, we’ve built on the strong foundation that those before us have put in place. We’ve transformed the Company from a North American desktop software company to a global cloud driven product and platform company. We deliver consistent top line and bottom-line growth, and we’ve cultivated a strong and enduring culture of innovation and self-disruption. Today's announcement is a continuation of a long history of leadership development that has built a deep bench of leaders who will take their place as the next generation at Intuit’s management team. As I look ahead, I have never felt better about Intuit’s future. So with that, let’s open it up and hear what’s on your mind.
Operator: Thank you [Operator Instructions]. Our first question comes from the line of Keith Weiss of Morgan Stanley. Your line is open.
Sanjit Singh: This is Sanjit Singh for Keith Weiss and sorry to see you go Brad and congratulations Sasan. Brad maybe I could start with tax, this year was a very strong year and you guys saw a lot of uptake with TurboTax Live. As you think about the tax changes going into next year with maybe a little more of the demand coming from simpler tax filings. What do you think the implications are for the TurboTax Live portion in terms of the benefit that you can see from that portion of consumer tax?
Brad Smith: Sanjit, I would tell you we’re very encouraged by this year’s performance in TurboTax Live we’re optimistic about the opportunities as we look ahead. As you know just to put context around this, today there are more people who file using an assisted tax prep method than those who use do it yourself. And we discovered tens millions who will be willing to actually use a do it yourself solution if they have the access to an expert to answer some questions that they may have in the back of their mind. So it opens up $20 billion TAM. And when we introduced TurboTax Live this year, we had two hypothesis, first the first is could we actually retain more of those 3 million customers who leave each year when they have a life even change, like they had a baby or they sold stock. And I’m proud to tell you that we improved our retention very strongly, in this past tax season we’ll talk more about that at Investor Say. The second hypothesis was could we start to attract more people at tax stores and assisted method into TurboTax to TurboTax Live. And this year, TurboTax Live did indeed increase a 10% acquisition of customers out of an assisted method versus the standard TurboTax Online offering, so both hypotheses proved to be true. But there was one other surprise that occurred in tax season. Each year, 3 to 5 million people enter the tax filing process for the first time. We have always gotten our fair share with digital solutions, but with TurboTax Live, we actually pulled a disproportionate share first time filers in this franchise. So we're seeing an improvement in retention, we’re seeing an acquisition increase from those who were using assisted method and we’re seeing a disproportionate share of first time filers that gives us a lot of confidence that next year and beyond TurboTax Live could potentially be a game changer if we continue to execute well.
Keith Weiss: And maybe just if I can sneak in one more on the QBO subs, you mentioned in your script that growth might slow a little bit next year versus the strong growth you saw last year. How does that relate to your overall expansion efforts, particularly on the international side and also with QuickBooks Self-Employed? Are those international markets slower to ramp or are you starting to see some slowdown on the Self-Employee side as well?
Brad Smith: I appreciate the question, and let me set some context around why we’ve made this decision. We’re at the next chapter of the business model evolution in QuickBooks Online and we do fundamentally believe that the online ecosystem revenue growth is the appropriate measure for health going forward, and let me explain why. First and foremost, we’re now starting to serve an expanded group of customers from the self-employee to the core QBO with U.S. international and now we’re expanding into what we used to call the mid-market or enterprise space with QuickBooks Online Advanced, we’re going to be talking more about that in the fall. And so you’ve gone to have an expanded group of customers each coming in with a different revenue stream. On the other side, we have our online services which you probably saw accelerate in this quarter, very strong growth 34% growth. That's not only payroll and payments attached we’re also beginning to introduce those services as their own standalone front doors that can ultimately unlock the QuickBooks Online. So think of things like go payment or online payrolls. When you start to put that together, it starts to muddy what's the definition of the subscriber. And so at the end of the day, what we know matters most is that we are delighting customers and we measure net promoter that we are taking market share in every geography, which we measure very intently and that we are indeed accelerating revenue growth. And it’s those three measures that we think are the best indicator of whether we’re growing our franchise. I'll give you this as a little mindset that we're thinking about. I personally will be disappointed if we do not at least meet or exceed the number of net new subscribers we add in QuickBooks Online next year. Ad this year as I mentioned in my opening comments, we added 1 million net new subscribers. So that will give you some ballpark of what we mean when we say moderating growth, this is still very strong growth with a business that’s accelerating.
Operator: Your next question comes from Matt Pfau with William Blair. Your line is open.
Matt Pfau: I wanted to hit a few on the tax side. So I guess just in terms of -- and Brad you mentioned that part of the guidance for the Consumer Group is more of a shift from the assisted category that do it yourself. So I guess what drive -- even though the tax codes become simpler now. What would drive those assisted customers into the do it yourself channel? And then I guess in terms of the way you guys thought about your -- the upcoming tax season, every time they make the tax code simpler, it creates more confusion sometime. So how did you factor in I guess consumer response to maybe being a bit more confused even though the tax code has become simpler? Thanks.
Brad Smith: So first of all, we’ve seen a secular shift in do it yourself over the past decade plus. If you just look at the numbers the IRS publishes each year that do it yourself category has outpaced the assisted category whether its tax or the CPAs pretty significantly. And then with TurboTax Live, we think we’ve untapped a whole new source of growth, because we’ve always discovered there were tens of millions of people going to an assisted tax prep method but add a simple unanswered question, hey, my kid just turned 26, can I still claim them as a deduction. And we found that with a touch of a screen to have the opportunity to have an expert come in to that experience answer that question allowed us to start to get more of those customers into the category. So as we look ahead we think a combination of two things. The government simplification to the tax process now has more people saying, I qualify for a standard deduction, why am I paying someone, I could actually be doing taxes on my own, I should consider do it yourself solution. And then for those who say, hey, I think I can do this, but I may have a question we’re going to make very apparent with a lot of delighted customers who are willing to go after on our behalf and talk about how great the service is to say you no longer have to choose, you can use TurboTax and get the access to an expert, but you don’t have to drive to a store, you can do it from the convenience at your home, in your pajamas if you want to. And so it’s those two things that fundamentally give us confidence, and we have reasons to believe coming out of this tax season. And you’re correct, anytime there’s a change there’s always a desire for people to say, gosh, do I have enough here to get this done on my own. And we’re going to have competitors who are going to try to stir us to fear, uncertainty and doubt. But as you saw with the Affordable Care Act several years ago, a lot of people said, will this cause people to lose confidence and that was actually one of the greatest accelerators of growth we’ve had in our franchise. Our team is poised to sort through that fear, uncertainty and doubt and let people know that we have an answer for them, whether they want to do it themselves or access an expert.
Operator: Thank you. Our next question comes from the line of Jennifer Lowe of UBS. Your question please.
Jennifer Lowe: Thank you. And first, I’d like to say Brad we’re going to miss you. I know you’re still around for a couple more quarters, but you’ve been a big presence for a lot of us for a while. But I look forward to working with you and Sasan, going forward. So just want to say that first. And maybe digging into -- based on Sanjit's question a little bit and around the strength that you’re seeing in the online services revenue line. I know few years ago the message with the QuickBooks Online transition was the opportunity to get higher attach rates with payments, higher attach rates with payroll, since in the disclosures have been collapsed a bit and hasn’t been as much of a discussion point at least on your earnings call, so maybe just circling back on your comments there. If you think about the acceleration there is that it, is that the original vision of QuickBooks Online of having greater attach rates around today’s services starting to play out a little later than maybe we thought it would? Or is there something beyond that that’s happening in that line item? I know you mentioned some of the -- their own front door’s commentary. But I am just trying to contextualize that versus that being a similar ambition a few years ago that maybe didn’t play out as we had hoped originally?
Brad Smith: Thank you, Jennifer. And first of all, thank you for your kind comments. And you’re right, I’ll be here for a couple more quarters and then the junior varsity will exit and varsity will take the field, and I am excited to have Sasan stepping in. If you go back and think about our model over the years, it’s been a razor and blade model. And the first thing is to get the razors and after that attach the blades, and we’ve played that out very well over desktop era. As we moved into online, we are still aggressively gaining razors, we’re opening new markets, we’re going into the self-employed and now we’re moving up into the midmarket with QuickBooks Online Advanced. But at the same time, we’ve gotten wiser in how to really capitalize on services. This past quarter, online payroll attached to QuickBooks Online grew faster than 30% and payments grew faster than 40%. Now you introduce these new opportunities to have those services be the first experience for our customer, whether it’s go payments for payments or his payroll and then unlock the QBL. And we think that's really going to give us an opportunity to accelerate our services business. So we are in a razor and blade business. We feel like there’s a lot of game left in the razors, but we have gotten smarter and now we’re entering that chapter where the blades are now become more important. And we do expect that you’re going to see online services continue to grow and accelerate.
Jennifer Lowe: So maybe just quickly to follow on that. If you look at how the landscapes evolved over the last few years, it feels like there is a growing number of payroll providers in particular that target the SMB space. So I am just curious if you can give an update on how you feel about the landscape there? Obviously, it makes a lot of sense for QuickBooks customers to use payroll. But in situations where you’re leading with payroll, what’s the competitive dynamic there given players like Gusto have gotten more visible over that time horizon?
Brad Smith: Josh and team at Gusto great partners, good friends, we’ve worked with them for years. But all of us see the same opportunity. Four out of 10 small businesses still do their payroll with a spread sheet and a calculator. So it is not a zero sum game, there is so much opportunity to help these small businesses get their payroll done much more efficiently and avoid the penalties and interest that come as a mistake. And then as you know as we moved into this One Intuit Ecosystem strategy, we opened up our platform. So customers can use our payroll, they can use Gusto, they can use ADP, any of those services will work with QuickBooks online. And two things happen in that regard; one is the customer is able to make the choice they want; and the second is that data flows into QuickBooks Online and the retention of the QuickBooks Online then goes up exponentially, up over 10 points when they attach a second service, whether we build it or one of our competitors built it. So we actually do this as a real win. And yes, the market is competitive but right now, we’re all trying to get the customers out of spread sheets and into a digital solution that make sense. And then from there, it’s always going to be up to us to make sure that we have the best alternative in the market. But if they use a partner, were happy with that as well, because that increases the retention of QuickBooks Online.
Operator: Thank you. Our next question comes from Brent Thill of Jefferies. Your line is now open.
Brent Thill: Brad, if the junior varsity team doubled revenue, we look forward to seeing what the varsity team does. I guess Brad just a question around why now you’ve had three of your top corporate positions turnover recently. Obviously, great athletes in those positions. But can you maybe just address, I think there’s some investors that are maybe a little unsettled by what’s happened just with the number of changes that have happened. Can you maybe walk through your perspective?
Brad Smith: Let me start first with the broader prospective. As you know as you’ve seen us, we’ve rotated leaders between positions over the years. I have the opportunity to run three businesses before I became the CEO 11 years ago, and that is by design. We fundamentally believe we grow and develop our bench by giving them opportunities to run different parts of the company and then that prepares them for greater things. These decisions that have been announced have actually been a multiyear process. We have a very regular set of discussions with both the leaders as well as the Board so say what the individual’s personal true north and what are the business needs as we look ahead, and then we make decisions that basically get those all lined up. And so we have been sequencing these moves, and they've all been based upon a multiyear succession planning process. When it comes to me personally we all know that these jobs that’s inevitable at some point you’re going to have to say goodbye. The real art is being a part of that decision. And so for me when I set out 11 years ago, there were two mile markers that I wanted to put in place; the first is, is the company ready; the second is do we have an internal leader ready to take the seat; and the third is, am I ready. And I feel like with this year being a capstone that our company successfully has transitioned to the next chapter of growth in terms of the next leader, not only is Sasan ready having run everyone of the businesses more than I ran and also served as a Chief Information Officer, he has primed. And finally with me, I always hope that I would leave when I was more of an asset than a liability. And I think many people may argue that point that I may have already crossed that line. But I really never wanted to be that athlete that lost the step or couldn’t complete the path. And I feel like now is the right time; I just feel like the Company is in a good place; we've got a great leadership team in place; Sasan has everyone's confidence and I learn from him every day; and I think this next chapter is really set up, so that's really why. And I would encourage anyone who maybe unsubtle to simply look at those who've assumed the seats because you know them all; they’re 14 year veteran year; they’re eight veterans; they’ve been at Investor Day; you've seen them demos; and they have been a part of these decisions from day one; we run this Company as a team; and I really feel like this next chapter is going to be a strong chapter.
Brent Thill: And just a quick follow-up for Michelle, just as it relates to your guide. I think you’re guiding under the old rule pretty modest margin improvement. It's almost in four years now you've been hovering right around 33%. Some other questions we get is top lines is accelerating that's great, but what about the bottom line. When do we get to see the bottom line come through?
Michelle Clatterbuck: We feel really good about the growth that we have in our guide. You’re right. When you go back to our financial principles, we talk about double-digit revenue growth. And op income growing in the mid-teens, we want revenue growing faster than expense. This year, we came in strong with 15% revenue growth and 14% of op income growth. You see for next year for our guide; we are expanding margins; revenue is continuing to be in the double-digit range; and we have operating margin expanding by 10 to 50 basis points. So we feel very good about the guide. The business is really strong. And as Brad said, there is lots of opportunity for us.
Operator: Our next question comes from Ross MacMillan of RBC Capital Markets. Your line is open.
Ross MacMillan: Thanks so much. And Brad, it’s been a real pleasure over last 10 years or so, but I look forward to working more closely with Sasan, going forward. Maybe I can start Brad, just as you think about tax for next year, two things struck me. One was your guidance range, was actually for consumer was narrower than normal. And I would have thought that given the moving pieces in next year's season, you may have actually gone to the other way. So would love just to get your sense of how you are thinking about the different inputs into that. And then second just on -- as we think about ancillary revenues on Small Business online ecosystem. There’s a big gap obviously relative to QBO revenue today. And if you compared it to the desktop business, I think ancillary actually got up to almost 2x, QuickBooks Desktop revenue. So I was just curious do you think there’s that same type of opportunity as a multiplier, if you will, over time for the online ecosystem? Thanks.
Brad Smith: Great, thank you, Ross. And it’s been a pleasure work with you over this past decade as well, learned a ton from you and you’ve always helped us think about the business in different way. Let me start with the Consumer Group data. Actually, the range is in the same zip code. If you look at 605, it’s nine to 11. I know under 606 it looks nine to 10, but that’s really just what nickels, it’s basically the same shift and it’s just a rounding thing. But also if you look back, there’ve been years where we’ve had a slightly bigger band, because we were in the early days with the how positives, hey, will TurboTax Live actually do what we think it will. And at work the Affordable Care Act that’s coming out and even though we have confident. Do we have enough of a range to give us some wiggle room? What you should read into this range right now is nine to 11 is a little more typical, it’s like what we do if you look under 605 with the other business. But the second is because our confidence level is high coming out of this tax season, we don’t feel we need the wiggle room to broaden that range. We actually feel good about our momentum as we head into fiscal year ’19. On the second one around online ecosystem revenue and services, you’re correct. We went through a period of time where we had razors with QuickBooks desktops and then that number stalled out at about $4 million on the factsheet for a lot of years. And then we made a lot of growth by simply selling blades into that install base. And that drove two big businesses, our payroll and our payments business, to your point got to be about 2x what the accounting business was. We’re not near that chapter yet. We still have a lot of growth in QuickBooks Online. We’re just now entering the mid market space, which comes with a much higher ARPU. And we are still opening new markets internationally, and we’ve got a lot of room to still grow in the U.S., with both Self-Employed and core QBO. At the same time, however, we don’t have to sequence it like we did back in the day. We can also start to capitalize on the online services. And so yes, I believe over the long-term, you’re going to see those services continue to accelerate and grow and become very meaningful. But I don’t think you’re going to see them get to the point where the 2x over accounting anytime soon, because we’ve got a lot of greenfield with accounting and we’ve got to continue to go out there and capture that opportunity as well.
Operator: Thank you. Our next question comes from Jesse Hulsing of Goldman Sachs. Your question please.
Jesse Hulsing: Thank you. And Brad, it’s been a pleasure and Sasan good luck. I’m sure you’re listening in.n First on the consumer guide, I guess, stripping out that apart. What are you thinking units versus ARPU? And I'm assuming that ARPU is going to be like it’s a big part of the story again next year with Live. What do you think the different components that will drive the ARPU growth are? Is it mostly mix shift, you see potential to take price again this year? It would be helpful if you could break that down?
Brad Smith: Yes appreciate it Jesse, and also the kind words. And Sasan is sitting here with us and he’s anxious and excited to continue to deliver strong results in Small Business and Self-Employed for another few months and then I sit in the seat. So back to your question around Consumer Group. We’re going to unpack for this group, at Investor Day, what we see as the long-term outlook for the Consumer Group at Investor Day. Ultimately, that includes four levers; what do we expect total IRS returns to grow; what do we think do it yourself category growth will be over the next five plus years; what do we think unit growth will start to look like; and then how much can you expect from ARPU. I don’t want to get ahead of that at this point. But what I can tell you is our outlook on the growth of this business is higher than it was just the last couple of years. And we’ll talk more about how much that will come from category growth units in ARPU when we actually get to Investor Day here in another 60 days or so.
Jesse Hulsing: And Michelle I understand 606 can distort the income statement, we’ve seen that with a lot of other software companies. I'm wondering on the cash flow side. What are your expectations for operating cash flow growth in fiscal ’19? Thanks.
Michelle Clatterbuck: In FY18, we had operating cash flow that was quite a bit higher, it was 32%. But as you look -- and that was because of some of the benefits we got from our tax benefits this year. We had an abnormally lower tax rate. But going forward, we would expect operating cash flow to more closely track non-GAAP operating income on a go forward basis.
Operator: Thank you. Our next question comes from Kartik Mehta of Northcoast Research. Your line is open.
Kartik Mehta: Brad, looking at the tax season this year. as you look at TurboTax Live, I don't think last year you really marketed TurboTax Live. As you going into this year, do you think that changes or do you think you use a similar strategy to which you did last year?
Brad Smith: Kartik, you’re correct. As we entered this last year, we traded it as a V1, and our campaign was more around there’s nothing to be afraid of, but it wasn’t that explicit about TurboTax live. As we get closer to season, we’ll start to unveil more of what we plan to do. But I will share at this point three major learning that we know that we have an opportunity to capitalize on as we go into next year. One is much more effective in targeted market bout what TurboTax live is, which is the point you’re making. The second is a better understanding of seasonality. We entered the year thinking that those that we want TurboTax Live will be towards the back end of the season, when there were more complex filers. We were wrong. There’s just as many people upfront the early part of season who have questions as well. And the third is while we had a really good version one, we had an opportunity to improve the Pro experience who actually answers the questions for the consumers. So we spend a lot of time over the summer improving that Pro experience. So those are three big areas we’re focused on. But we will absolutely be looking at our marketing messaging and helping create category awareness if there is a new way to do tax with the TurboTax Live.
Kartik Mehta: And then Brad just your thoughts on with the new tax law changes. Do think there is risk in customers maybe trading down to the lower price SKU for TurboTax? And maybe how you might've taken that into account for your guidance?
Brad Smith: Kartik, we do. In fact, we have incorporated that into the guidance that we shared with you. We shared that was a standard deduction more people qualify. We’ve always had a category of customers that when they know that there is an opportunity to move down, they will. There is a group in the middle that we call it aspirational buyers. We’ve all learned this in our marketing days if you have a good better, best product line up, many people buy the middle. And so there is going to be an inspirational buyer that may qualify for standard deductions that may get actually confidence knowing they could get access to something else. But at the end of the day, we factored that in and we believe the bigger opportunity or the tens or millions of people who sit in the assisted category, they’re going to discover the same things and they’re going to downshift into the digital solutions. And so we think when you net it all out, it leads to the guidance we have provided for you for fiscal year '19.
Operator: Our next question comes from Walter Pritchard of Citi. Your line is open.
Walter Pritchard: On the -- I just wanted to get to the 606 numbers and look for -- 605 numbers, and look at the small business side. You talked about the acceleration you saw in fiscal '18 on Small Business. And it seems like you’re basically guiding for the high end of the range to be backed down to the growth rate you saw in the year prior. And it feels like you saw acceleration, you've got the momentum and there is some underlying drivers here. Why would the Small Business growth be call back where it was before you put in place these measures?
Brad Smith: Could you just repeat the second part of the question there, I missed it.
Walter Pritchard: I was just wondering why -- so you guided on 605, the high end of your Small Business guide is 14%, which is the rate that you grew in fiscal '17. And you saw some acceleration this year. It feels like you put in place some things that would make that durable, and yet you’re calling for decal of small business back down to at or below the levels you saw in '17?
Brad Smith: Couple of things are going on there. .obviously, we’re in the process of opening new markets, moving up into QuickBooks Online Advanced SKU and then building on the momentum and growing over some pretty healthy numbers. And so I often say internally, the best way to have a good year is to lap a bad one, and we don’t have that luxury in this case. At the same time, I wouldn’t over-read too much into that. There is nothing in the leading indicators that has us concerned about the growth rate. If anything, you might want to read in there or words that I’ve used in the past, which as we tend to be prudent when we provide our guidance, because we want to make sure that we have the opportunity to learn and to adjust as we get into season. But when we get to the Investor Day, I had a feeling what you'll get the chance to see a strong momentum in Self-Employed QBO in U.S. and international, and a real excitement around QuickBooks Online Advanced, which is the enterprise version. And at the end of the day, we feel really good as we enter fiscal year '19 we've got the right growth drivers to drive growth. The rest of it in terms of the high end or the low end of guidance is really a combination of us being prudent. And the fact we’re growing over some pretty big numbers and we want to give ourselves the opportunity to get over those numbers.
Walter Pritchard: And then Brad on the international side, I guess we now have a great sense as to help pass that its growing here with the subs. But can you give us a sense -- are some of those markets staring to mature and are other markets starting to open up to keep that international growing well ahead of domestic, or any color there around that small business international would be great into '19?
Brad Smith: The UK has really get a new stride, we’ll be talking even more in the fall. But that business and that country has been performing at level that exceeded our expectations and they’re only picking up steam. At the same time, Canada and Australia remains strong and we're very encouraged by the result we're seeing in Brazil, as well as in France. We are still in the early days of trying to get the product market fit in India. We have a powerful team of 1,100 engineers who live there and work on the rest of our products. And so they’re committed to helping us found that product markets fit. So net-net, there is not a lot of change in terms of countries other than momentum forward in terms of how close they are to be able to get to the green light on product markets fit for us and then on the marketing. But right now, the results are strong I would call out the United Kingdom as being the real superstar right now and they’re just continuing to build momentum.
Operator: Thank you. Our next question comes from Sterling Auty of JPMorgan. Your line is open.
Sterling Auty: Two questions, one back to TurboTax Live. Can you review for us how you felt the pricing on TurboTax Live was received by the market and maybe thoughts on the pricing of it moving into the new tax season?
Brad Smith: This past year, we ran a lot of experiment in TurboTax Live. But if you net it out what tended to be on average, it was about $150, which was a premium to core TurboTax but a discount to what you would have to pay if you went to an assisted store or a Pro. What you may see if you go to turbotax.com right now is we enter what we call third peak, which is October extension season. You’re going to see one of the lessons we learned this year is TurboTax Live in and of itself does not have to be a single skew. It can actually be a service that can be attached to the rest of the TurboTax line up. So what you’re now going to see right now out in there and it’s one of many tests we’re running is you can now have the TurboTax Live assistance with TurboTax basic at around $80. You can take it all the way up to Premier and it makes that SKU about $170. And then of course you can even do it with Self-Employed, which goes up to about $200. So think of TurboTax Live now being an add-on service, more bundled in with the core TurboTax whether you’re at the simple end of our tax filing SKU as to the more complex. So you’re going to see us take a different pricing approach this year.
Sterling Auty: And then one real high level question around small business. We’re at the highest levels on the NFIB Optimism Index that is ever seen. Should we be thinking that we’re actually at peak growth rates within that small business because of the environment so positive?
Brad Smith: Yes, we are seeing very high optimism and confidence growth rates in the NFIB, and as you know having follow this for years. We don’t put a lot of credence in those numbers, because we come to appreciate and celebrate that small businesses and entrepreneurs who are optimistic by design. One out of two fell in the first five years, there’s always sure it’s going to be the other person. And we love that about small businesses. The other thing I would tell you is while we certainly are at a cycle right now with small business formations and confidence are high, we also know that in most downturns that actually tends to be a catalyst or a boom for small business formation. We did have one counter cycle, which was the latest downturn 2008 but that was a consumer driven downturn. And their credit cards were maxed out they couldn’t get any loans because the financial sector had melted. But that really was the anomaly. If you look back to all other recessions, small business formations tend to accelerate in the downturn. So while we absolutely think that right now we’re seeing a lot of robust confidence, I don’t think that gives us any reason to say we’re going to have a drought coming up, because small businesses tend to be confident by nature. And even if things get tough, more people tend to get laid off from the big jobs and they go start their own small business.
Operator: Thank you. Our next question comes from Siti Panigrahi of Wells Fargo. Your line is open.
Siti Panigrahi: When you think about consumer -- you’re leading in the DIY category and getting share from assisted. But when you think of the long term opportunity on the consumer, you talked about try and do selling from a consumer app to more of a consumer platform. Where do you stand on that vision? And when should we think about some of those initiatives, like Turbo starting to contribute meaningfully?
Brad Smith: We are excited as we talk about our consumer strategy; the first is of course to continue to extend our lead in the do it yourself software tax category; the second is to begin to transform assisted tax, and those have a lot of juice in them; then third part of strategy is begin to expand from a tax business to beyond tax and become a consumer platform, and Turbo this first year was in its first year. And Turbo had, when you look at TurboTax with customers, 23 million people consented to share their data in an effort to get access to lower mortgage rates, better credit card financing, refinance for student loans, and that was a significant indicator of confidence for us. And we really like the version one Turbo experience not only for the consumer but also for the partners. The partners who work with Turbo got an eight to 10x lift on their conversion, because the leads are so much more qualified and the data is so much deeper and richer. So the consumers are wining and the partners are getting a better lift. So we really think there is gain here and its early days. In terms of when we’re going to see meaningful revenue, we haven’t really baked anything into the guidance for next year’s consumer business. When it comes to this, it’s a very small amount. What we do think as we look three to five years out, this could be a real growth catalyst for us if we continue to execute well.
Siti Panigrahi: And then on the QBO side, last quarter you talked some of the -- doing some experiment in terms of promotion and discounting. I was wondering if you could give some color on like what you’ve found there and how much of that baked into your guidance.
Brad Smith: Yes, so we’re always running pricing and promotional tests. We run multi cell test, AB and we look for where we can get the greatest conversion, the greatest lift and obviously the greatest optimization of our revenue growth. We have learned somethings, we’ve learned some important things about the bundles that we offer accountants and we’ve also learned some important things about how long and how deep we need to make the core QuickBooks Online discounts for the small business, a lot of that’s reflected on our Web site now. But you should also know we’re running other tests as we speak and we may continue to adjust as we get closer to the fall. But I would just say that everyday our team gets smarter in both testing and pricing scenarios and discounting, and what bundles make the most sense. And that’s what continues to drive acceleration in the business.
Operator: Thank you. Our next question comes from Jim MacDonald of First Analysis. Your question please.
Jim MacDonald: Brad, on small business, could you tell us how you’re thinking about price, especially with the services side?
Brad Smith: Jim, it’s been great working with you as well and you and I go back chapters even before this company, so I don’t want to date you to one of us, but it’s been a good run. We look at services and in some cases we chose to bundle demand to the subscription. For example, when you get to different countries, payroll we may not be charging for payroll in the UK, because that maybe what the market dictates or what we think is the right thing to get adoption of the customers. So really the answer varies by the market we’re in. but today I would tell you that we see a real interest in customers attaching these services. And it gives us a chance to get them in with a pretty low friction point; they can come in and they can try it for free; they can begin to use it for 90 days; and then if they like it, they can go ahead and activate the service and pay going forward. But it really is a case by case basis, each one of the country and each one of the services depends upon what the market will support.
Jim MacDonald: Then I had a follow-up for Michelle. I mean under 606 we've seen a lot of cases where the expenses gets spread out. And can you talk a little bit about impact of 606 on expenses?
Michelle Clatterbuck: Yes, maybe the situation with some other folks when you look at 606, for us the only real impact that exists for us has to do with sales commissions. And it just had an completely immaterial impact for us. So if you take a look at back, you'll see that our expenses are basically the exact same under either accounting standards.
Operator: Thank you. Our next question comes from Raimo Lenschow of Barclays. Your line is open.
Unidentified Analyst: This is [indiscernible] for Raimo Lenschow. I'm just curious about if you could talk about ARPU for Small Business and Self-Employed, our math shows that it's been constant but there are some moving parts maybe in international growth and Self-Employed versus Small Business. Can you talk about ARPU at more of the cohort level if it’s been increasing or decreasing?
Brad Smith: I can and I'll share with you that at Investor Day, we've provided a pretty deep dive into what does ARPU look like by cohorts. In another words, what the self employed ARPU look like, what does it look like for core QBO in the U.S. what’s it looks like internationally, what's Desktop look like, and then you throw it on to in blended. If I had to cut to the chase, each one of this cohorts the ARPU continues to get stronger and improve. At the same time, when you put them all in and do an average, ARPU looks flat and in some cases, it could be slightly down because the faster growing parts of the mix are the self employed customers who’s tend to have a lower ARPU and the international units, which tend to have less attach right now, and so they had lower ARPU as well. But net-net when you put it together, each cohort is getting stronger. When you think about QuickBooks Online Advanced, which is the enterprise version of QBO that we’ll be introducing here in the next couple of weeks in a stronger fashion. It's in the market now and you’re going to see it continue to move up this line and get even higher ARPU. But net-net because of mix it's going to be a very false lead. That's why we ask to provide and stay focused on online ecosystem revenue, which they will keep then growing north of 30, this quarter it grew 43%.
Unidentified Analyst: And Michelle, just curious about the datacenters that you guys sold recently. Has everything shifted to the public cloud now, or are you still getting double tax for AWS payment and maintaining some of your datacenters?
Michelle Clatterbuck: Right now, we did sell our datacenter as part of our cloud strategy, the datacenter that is in Quincy, Washington. However, we do still have some of our offerings that are in that datacenter, we are just leasing it back. We've made some great progress over the last couple of years in FY18 that was one of the areas that we reallocated resources to so that we could accelerate the move. We are not all the way there. But for instance this year TurboTax was completely in AWS for second peak and we're now focusing a lot more on moving the QuickBooks.
Operator: Our next question comes from Ken Wong of Guggenheim Securities. Your line is open.
Ken Wong: So you guys have talked about the 3 million followers that turn off annually rough calculations would be give or take 8% churn there. How do you guys think that number can improve over time?
Brad Smith: Well, we will look forward to sharing the actual retention results at Investor Day, but we have seen the opportunity to continue to turn that dial up and keep more of those customers. And with the TurboTax Live, we think we have a chance to really advance that even further. When you look at the total opportunity, there is an aspirational goal, which is we would like to retain 100% because when you get underneath the hood a lot customers leave us, short of those who are no longer filing taxes. The number one reason is their lives have been changed as something change in their lives that causes them to lose confidence. We think TurboTax Live is our biggest advance forward and really starting to say you no longer have to leave, you can talk to a CPA, a tax attorney and enroll agent right here on the screen and get that question answered, so we’ll see how high is that. But right now our aspirational goal is to keep every customer that we get with the exception of those who no longer have to file taxes with the government.
Ken Wong: And then, Michelle, as we think about the impact of Live going forward. To the extent you guys have upside on what you guys plan to execute there. What would the impact be on margins, if any?
Michelle Clatterbuck: Well, I would tell you, Ken, that as we look at margin we really do look at that at a total business level, we’re not looking at it -- at the total company level, not looking at it at the business level. We may have some opportunities with TurboTax Live that has been factored into our guidance for the upcoming year. As Brad said, we’re really pleased with how it’s performed. We think there’s a big opportunity there. And I would say to -- so consider what we’ve given with our guidance.
Brad Smith: This year we had -- we’re going to say, we had a rock and roll year in TurboTax Live and the margins in the consumer group were fantastic. So we do not see this as a dilutive business model.
Operator: Thank you. Our next question comes from the line of Brad Reback of Stifel. Your question please.
Brad Reback: Michelle, maybe just a quick question on the Desktop business, so I think you talked about unit decline moderating to the single digits from 15% this year. Can you just sort of go over what's going on with the coverage there? Thanks.
Brad Smith: So the Desktop business, as you know, we’ve had customers who are ready and able to move to the cloud move-over. In fact, we had about 184,000 migrate this year. It’s about 500,000 in total over the last few years. The ones that have stayed behind tend to be the more complex customers and they also tend to be QuickBooks enterprise. Now that we’re moving QBO to QBO Advanced to starting our early journey to get an enterprise version in the cloud, we may open up opportunities for customers to move over there. But that business and the desktop continues to grow well. So what you heard in the forecast that Michelle provided is that we really are down to the point now where the customers on the Desktop, that is the best solution for them. And so we don’t expect that decline to continue to be the mid-teens like we have. We’ve moved most of those customers over to the cloud. And the ones that are staying are staying for a reason. Once we get QBO Advanced still then we may have an opportunity to get them over into the cloud as well.
Unidentified Company Representative: If I heard that -- I think the new customers are all coming in on QBO, and so while we’ve got a little bit of migration and those good customers staying, we aren’t really restocking the pond on the Desktop side. The new guys are coming over to QBO and so you’re just seeing some natural attrition in there as well.
Operator: Thank you. Our next question comes from Michael Millman of Millman Research. Your line is now open.
Michael Millman: So the IRS seems to be very concerned at least publicly about under withholding, and I assume that they’re very concerned about tax payer shock. Do you agree with this? And if so, will this suggest that there might be some more movement to assisted and TurboTax Live? Or do you see this also creating much more walking out of particularly out of assisted and to some extent generally less filing while people got to figure out?
Brad Smith: Michael, that’s a pretty deep philosophical question that IRS has put out there which is our people, basically paying the appropriate taxes. I can tell you that the entire industry and certainly TurboTax and our Pro products, works very hard to make sure two things happens; that people get qualified and access to the deductions they’ve earned but then they pay the taxes that they owe. And we’ve spent a lot of time making sure that those two things happen. I do think that with any tax change you’re going to have people that are going to want to talk about it. Sometimes they talk about it to a friend or family member and we have that with our Live community in TurboTax. Sometime they want to a Pro, which is why TurboTax Live is so important. I can’t see any major catalysts or shift that I think going to cause people run back to assisted, because of this question, the IRS that’s put out there. But I do think it’s the right question for industry to continue to solve that how do we make sure people pay the amounts they owe but at the same time get access to the deductions and the things that should stay in their pocket, that’s what our job is and we have to make it very clear and very simple of people to understand.
Michael Millman: Is part of it political and it’s a one year impact?
Brad Smith: For me Michael I have to avoid those political questions, because we serve all administrations and anyone who is in there. We have to make sure we’re helping the country execute tax laws the way they’re written and at the same time, make sure the tax payers get just the deduction they deserve. So I don’t know what the motivation is. I know the IRS as a partner is a great partner. They’ve been very objective. They’ve worked very hard with the industry to make sure that we’re doing the right thing. And I’m not sure what the motivation was for some of the comments that you’re referring to.
Operator: Ladies and gentleman, I’m not showing any further questions. Would you like to close with any additional remarks?
Brad Smith: Sure Latif, thank you. And thanks everybody for your participation and your questions, I know we’re about 15 minutes over the allotted time. But your kind words along the way and many years are also deeply appreciated. I can say this. We are one year into the next chapter of growth. We really feel we found the new gear. We’ve got some exciting new services that are coming up with TurboTax Live, QuickBooks Online Advanced and a whole host of others. We really see evidence that our ecosystems is coming to life, we’re unlocking new value for customers, for partners and for Intuit. And I firmly believe our best days are ahead of us and we’re looking forward to demonstrating that to you and everyone else as we enter fiscal ’19 and beyond. So thanks again and I look forward to speaking with you soon. Take care, everybody.
Operator: Ladies and gentlemen, thank you for participating. This concludes today’s conference call.